Disclaimer*: This transcript is designed to be used alongside the freely available audio recording on this page. Timestamps within the transcript are designed to help you navigate the audio should the corresponding text be unclear. The machine-assisted output provided is partly edited and is designed as a guide.:
Gustav Witzøe: 00:05 Good morning, everyone, and welcome to this presentation of SalMar's Results for the Third Quarter of twenty twenty one. It is with a pride that we welcome you to Senja, here in Northern Norway, and to InnovaNor, our new harvesting and processing plant, which will also be our new Northern headquarters. 00:29 During today's presentation, Frode Arntsen, our COO for Sales and Processing, and I will inform about our strategic investments in Northern Norway and the added value that InnovaNor can create for SalMar and not least the region. 0:53 The presentation of our quarterly results will otherwise follow the same pattern as before. I will present the highlights before our CFO, Trine Saether Romuld, takes you through the details. Finally, I will give you all an update on SalMar Aker Ocean before we finished with the outlook. 01:14 This is the first time we are in Northern Norway to present our results. It is therefore very pleasing that we today can present solid results from our fish farming Northern Norway segment. This impressive achievement is the result of a solid biological performance, and the hard work of all of our employees in the region. 01:44 At the same time, the good trend continues in Central Norway where we are delivering exactly what we promised in the second quarter, stable costs and a much higher volume. This is something we are very efficient with. 02:05Both our fish farming segments in Norway are delivering volumes as expected with good earnings. In the third quarter, they both achieved an EBIT per kilo of seventeen point fifty NOK. We harvested a record volume of salmon in the quarter, around fifty thousand tonne, which has also result in record levels of activity at our harvesting and processing plant. 02:36 A lot of hard work has gone into handling the volume and ensuring the top quality salmon is distributed to our customers worldwide. To manage the volume, we have had to harvest salmon at a total of nine different harvesting plans, five of them in Northern Norway. 03:02 This is a very challenging and expensive logistic exercise, which has had a negative impact on costs and profitability in the quarter. Therefore, I'm delighted to stand here at InnovaNor, which will bring together our harvesting and processing activities in the north and provide substantial gains in F&G quality and reduced costs. 03:33 In addition, SalMar, like the rest of the industry has experienced a general increase in the cost of input factors during the quarter. This had a negative impact on our results. However, what really hit us in the quarter were fixed price contracts to overseas market. Here, we have agreed fixed price, including freight delivered to the customer. 04:08 When the actual freight costs become much higher than planned as a result of the pandemic and the cancellation or rescheduling of air traffic, the segment results are negative affected, and it was not possible to achieve level of profitability expected and projected forward. 04:35 This is a situation, we see continuing into the fourth quarter, but we are convinced the trend will turn going forward with a continuing gradually reopening of society and with that more frequent aircraft departures and reduced freight costs. 04:55 All-in-all, this means we are presenting a mixed result for the third quarter, solid from our fish farm segments a bit lower than expected from sales and processing. We harvested forty nine thousand seven hundred tonnes in Norway in the third quarter and may the operational EBIT of seven hundred and forty three million NOK. This gives a margin of fourteen point ninety five NOK per kilo, including Icelandic Salmon, we harvested a total fifty two thousand one hundred tonnes in the third quarter and made an Operational EBIT of seven hundred and forty eight million NOK. This gives a margin of fourteen point thirty five NOK per kilo. 05:51 We are increasing our harvesting forecast for Norway by six thousand ton to a total of one hundred and sixty nine thousand ton for twenty twenty one as a whole. This is due to good utilization of the increased production capacity. We have obtained it both through the traffic light system and the acquisition of shares in Nekton Havbruk and Refsnes Laks, including Iceland and our relative share of the Scottish Sea Farm volumes, we expect to harvest one hundred and ninety seven thousand five hundred tonnes in twenty twenty one as a whole. 06:33 We expect continued volume growth in twenty twenty two over forecast is for the total harvest volume of two hundred and fourteen thousand tonnes, an increase of eight percent compared with twenty twenty one. We expect to harvest one hundred and seventy five thousand tonnes in Norway, sixteen thousand tonnes in Iceland, and forty six thousand tonnes in the UK, including thirteen thousand tonnes from the acquisition in Shetland. Our relative share of the UK volume will then be twenty three thousand tonnes. 07:15 I will come back to this a little later in the presentation, but first I would like to give the word to our CFO, Trine, who will take you through the operational and financial details. Frode and I will come back with more information about our strategic ambition in Northern Norway, InnovaNor, and SalMar Aker Ocean and outlook a little later. 07:44 Trine, welcome.
Trine Sæther Romuld: 07:46 Thank you, Gustav. I will, as usual, start with farming, Central Norway. We had a record high harvest volume in the quarter of thirty four thousand two hundred tonnes with an EBIT of five hundred and ninety seven million NOK, which result in EBIT per kilo of seventeen point forty six NOK. 08:12 We delivered in the quarter on what we said in the previous quarter, higher volume and stable cost development. This is due to continuous solid operational performance, despite increased biological challenges, in particular, related to increased number of sea lice treatments. 08:33 Spring twenty twenty has accounted for the main bulk of the volume, with a stable biological development, but cost are nevertheless somewhat higher than previous generation. In the quarter, we started harvesting of the autumn twenty twenty generation with good biological performance. 08:54 In quarter four, we expect similar volume and same cost level. We will finish harvest of spring twenty twenty and continue with autumn twenty twenty. During the period, the segment has experienced good growth and biological status of the fish in sea is good. Due to strong utilization of increased maximum allowed biomass capacity and our recent M&A of both Nekton and Refsnes, our guiding for twenty twenty one is increased with three thousand tonnes to one hundred ten thousand tonnes. 09:36 Farming at Northern Norway. In Northern Norway, we have harvested fifteen thousand five hundred tonnes in the period with operation EBIT of two hundred and seventy two million NOK, which gives EBIT per kilo of seventeen point fifty three NOK. We are very pleased with the results from the Northern Norway. We have lowered cost level compared with previous generations. This is a result of strong biological performance and a solid craftsmanship, which has given solid growth, lower mortality, improved utilization on maximum allowed biomass, and a lower cost level. 10:14 And the cost level is lower despite the result is still affected by high harvesting and wellboat costs. When we harvested after five different harvesting plant in the period. In comparison, this direct cost are around one NOK higher than for Central Norway. In addition, we have also indirect costs. Spring twenty twenty has accounted for the main part of the volume in the period and with solid biological performance. 10:47 We have also started harvesting of autumn twenty twenty generation, which has also shown strong biological performance. However, the price achievement is affected by harvesting in August and September, the period with a lowest spot price in the quarter. Due to this solid biological performance, we increased the expected harvesting volume for twenty twenty one with three thousand tonnes. So now we guide -- our guidance is -- for the year is fifty nine thousand tonnes. In quarter four, we expect slightly higher volume and cost at the same level. 11:28 Sales and industry delivered operational EBIT negative with twenty eight million NOK in the quarter. As Gustav have mentioned already, the result is negatively affected by increased costs related to logistic and especially air freight costs on contracts to overseas markets. 11:54 In addition, the record high volume has led to harvest nights and weekend, which increases the time spent on overtime and thus cost. But we are very pleased how our employees have handled this period, with record high volume through our harvesting and processing facilities. In the quarter, we have had the weekly records on the harvesting plant at Froya, which also impacted sales organization. 12:25 This is also shows why we are looking forward to putting InnovaNor in operation as we have need for large capacity when the salmon is ready for harvest. Despite a weak result than expected in the period, our strategic belief for local processing stays firm. COVID-19 has shown us how important this flexibility is by making it possible to quickly adapt ourselves and offer the market the products they ask for. Therefore, we are glad that we can be here today at InnovaNor, and Frode a bit later will give you some more details over this facility what will give us in SalMar but also in the future. 13:16 Icelandic Salmon. On Iceland, we have harvested two thousand four hundred tonnes in the quarter with an operation EBIT of five million NOK, which gives EBIT per kilo of two NOK. In the period, we have continued to harvest from the autumn twenty nineteen generation, with stable cost development. 13:37 At the same time, we have launched our new brand for Icelandic Salmon where we order these designs for improved price achievement. During the period, we have had non-recurring costs related to this launch of the new brand, which amounts to two point six NOK per kilo. 14:01 Through twenty twenty one and especially in quarter three, which is an important period for growth on Iceland. We have experienced lower growth than expected. And at the same time, we have had some unwanted mortality. Therefore, we are reducing our volume guidance with two thousand tonnes to twelve thousand tonnes in twenty twenty one from the previous fourteen thousand tonnes. 14:27 At the same time, we're moving parts of this volume into twenty twenty two to optimize the biological performance. So in twenty twenty two, we expect an increase of four thousand tonnes and then up to sixteen thousand tonnes in harvesting volume. In quarter four, we expect higher volume and cost at the same level as this quarter. 14:50 Scottish Sea Farms. Scottish Sea Farms harvested ten thousand one hundred tonnes in the quarter with an operation EBIT of eighty million NOK, which gives EBIT per kilo seven point ninety three NOK. Biological challenges related to gill health has had a negative effect on the result in the period. We have harvested fish with a low average weight, something that affects both the cost and the price achievement negatively. 15:21 In addition, there has been higher mortality, which has resulted in increased costs. Due to this biological challenges, harvest volume for twenty twenty one is reduced with three thousand tonnes to thirty three thousand tonnes. 15:40 As you may recall, the company announced the acquisition of our Grieg Seafoods operation in UK in June twenty twenty one. We are still awaiting final approval from the competition authorities in UK and we expect a verdict to come in the summer twenty twenty one. As a result of the acquisition, the company expect a significant increase in harvest volume in twenty twenty two and then up from thirty three thousand ton to forty six thousand ton. 16:18 And then over to some more comments to the P&L and balance sheet. Hope, this is a kind of operational EBIT deviation from quarter-to-quarter. I will start with the comparison with the previous quarter. First on the Norway, which had a decrease in EBIT per kilo of three hundred and forty nine compared with previous quarter. 16:40 The spot price is lower in the quarter, but due to higher price on the contract portfolio compared to previous quarter. The reduction is net sales price is lower than the fall in the spot price and together with somewhat lower cost in the value chain driven by the solid results in particular from Northern Norway. This explains the change from previous quarter. 17:04 For the Group, including Icelandic Salmon EBIT per kilo decreased by three point seventy NOK from previous quarters. And in addition to the comments already given reduced margin from Icelandic operation explained the decrease. 17:22 Some comments to the P&L comparing quarter three this year to the same quarter last year, we have increased the revenue following higher volume and increased spot prices. Operational EBIT with a lower increase due to a higher cost compared to the strong performing generation harvested in quarter three twenty twenty. 17:51 Also, please note that we have the new production tax starting in January one this year. In Norway, that is zero point four NOK per kilo harvested and together with the resource tax in Iceland, this accounts for twenty one NOK million in the quarter. Fair value adjustment is positive, due to higher forward prices and higher volume in the calculation. 18:17 Income from associate is reduced due to weaker margin from Scottish Sea Farm and negative fair value adjustment. Of the interest expense of forty five NOK interest related to leasing accounts to fourteen NOK out of this forty five NOK. Compared with last year, other financial items is negative currency effects. This is also gives negative OCI. 18:45 So in total, Group EBIT per kilo is reduced to be three point twelve NOK compared with the quarter three last year. This decrease is due to higher cost and lower price achievement despite NASDAQ is even higher. 19:04 Balance sheet. Over to the balance sheet, where we compare with end of quarter two this year. As already mentioned, we have increased our production capacity through the strategic acquisition of Nekton Havbruk and Refsnes Laks in quarter three. Therefore, both of these are consolidated from the quarter and explains the main change in our total assets, combined this increase is two point five billion NOK in total assets. 19:37 Other investments in the value chain is progressing according to plan. And this is the quarter with the highest CapEx investment ever for SalMar. Standing biomass is both higher than in quarter two and same quarter last year. 19:59 Net interest bearing debt including leasing has increased with five hundred and thirty seven million NOK and is no at five point nine billion NOK. In total, still a solid financial position with an equity share of fifty three percent and net interesting bearing debt including leasing versus EBITDA at one point eight. 20:27 Some comments to the movement in a net interest-bearing debt in the quarter. Start with net interest-bearing debt including leasing at the end of quarter two that was five point four billion. Then we have acquisition of Nekton and Refsnes and also including the debt in the company that in total is eight hundred and fifty million NOK. 20:53 We have investments, which is already referred to, investments are progressing as planned and the largest investment or construction or smolt facilities, Senja and Shoo-in, and our harvesting processing plant, the [indiscernible] Northern Norway in one word. We end then the quarter with the five point nine billion in net interest bearing debt. 21:23 At the end of the September, available credit facilities was four point six billion NOK, something that gives a strong financial flexibility for our strategic investments along the entire value chain. 21:39 With this, we have come to an end of the operational and financial updates. But before I hand over the word to Gustav again, we have a video as we have made show casting the fantastic areas and the value chain that we have here in Northern Norway. [Advertisement]
Gustav Witzøe: 24:20 Thank you, Trine for a good presentation. The movie gave us just a brief glimpse of the fantastic place where we engaged in sustainable food production in Northern Norway. This is an area that has everything you need to make a success of salmon farming. Good biological conditions, a deeply rooted coastal culture, a long and proud history of fishing and aquaculture and strong men and women, who are both resourceful and hard working. 25:04 SalMar's history in the regions, stated – dates back to the established of [indiscernible] in nineteen eighty nine. SalMar was invited to become a co-owner of the company with effect from twenty twenty and SalMar become the sole owner of the company in two thousand and six. Over the years, we have greatly expanded a number of production sites and the value chain here in the north. 25:34 With the result that SalMar is now the largest aquaculture company in Troms and Finnmark county. This has not happened by itself. In the past few years, SalMar has invested over four billion NOK in Northern Norway, in hatchery in Trøndelag, in sea farms in Troms and Finnmark and now in a harvesting and processing facility [indiscernible] in Senja. 26:07 This investments have given us the capacity to produce over thirty three million smolt in the region and harvest expected fifty nine thousand ton this year. This is thirty times more than the two thousand tons we managed when we started up in the region back in two thousand one. It has been a fantastic journey. 26:37 But it is only low twenty years after we started a journey in Northern Norway. That we have finally closed the circle, but putting InnovaNor into operation. We had create a complete value chain in Northern Norway. InnovaNor has become amazing facility. Each year, it will have the capacity to harvest seventy five thousand tonnes per shift and a capacity of thirty thousand ton per shift on the value added side. 27:15 By closing the circle, we have also created a cost-efficient structure for our operation here in Northern Norway. Together, with a dedicated workforce the stage is set for future, good performances. The foundation has been laid for continuing success, with excellent environmental, quality and financial results to come. 27:46 In this way, InnovaNor underlines the straight ambition we have for future growth in the North, through they will have the pressure of giving you a more detailed presentation of the facility and [indiscernible]. The investments we have made here in the North over the years are a perfect example of how SalMar holistic focus along the entire value chain underpins our success. 28:22 As I mentioned before, the Senja 1 and Senja 2 hatcheries will give us a capital to supply around thirty three million smolt. At the same time, the facilities flexibility will strengthen our ability to deliver on our mantra, high quality smolt of the right size, transfer to the sea at the right time and adapted to the condition at each site. 28:55 We already have nineteen sites in Northern Norway from Troms in the south of Finnmark in the north, which means that we can supply the best salmon produced at site with good environmental conditions. We aim the strengthen, this in the years to come, and we are working on project to put additional sites in operation throughout the region. 29:24 At last, but the not least, InnovaNor marks the completion of the value chain in the North. As a result, we will -- to an even greater extent be able to offer our customers, the product the demand, while maximizing value creation, not only with respect to each individual fish, but also to the ripple effects is send back into their local communities in which we operate. 29:56 At the same time, while continuing to invest and grow in Central Norway. This includes investing in a new hatchery in Tjuin, Phase one, which will give us source around twenty million smolt from twenty twenty four. And going forward, we will also be utilizing synergies between SalMar, Nekton and Refsnes. 30:24 In addition, SalMar is eager to size new opportunities in all the segments and district in which we operate. But all this is only possible as long as we have the right people with us. Employees, who have a passion for salmon as well as the operational and strategic focus, the knowledge and the mindset to make the most out of the fantastic opportunities that lie ahead of us. 30:58 To underline there are importance of operational focus we must step back in time. Two years ago, in the third quarter of twenty nineteen, we stood on states and presented some really weak results from Northern Norway, results, we were very extremely disappointed with. At that time, we said that having the lowest cost and achieving the best biological performance is in SalMar’s very DNA. And we promised to take steps to come back with better results. That is why we are delighted that two years later, we can clearly see the result of the work. 31:49 Our employees have made a truly heroic effort and succeeded in reversing the trend. This is not result of a single segment in the region. This is something we have achieved together as a team. Everyone from the hatcheries to the sales office have worked together and in the identified solution, that step by step had made us a little better today than we were yesterday. The result of all these small steps is perfectly shown in a table behind me. 32:28 Important KPIs are showing considerably improvements with the arrows pointing in a more sustainable direction. Fish welfare has been [indiscernible] and survival rate has increased. We have reduced the feed factor thereby reducing the amount of resources used, the volume harvested has increased as a result of better utilization of our MAB capacity, which combined with an under varying focus and on expenses has led to significantly lower level of cost. 33:14 These results clearly show that we have taken back the position we want to be in having the lowest cost and the best biological performance. The result of all the things, I have mentioned is thirty three percent cost reduction compared with the third quarter twenty nineteen, while the volume has risen by massive thirty one percent. The result also demonstrate that over operational focus is crucial for good financial performance. 33:53 If you succeed on the biological front, the financial results will follow. At SalMar, it is -- the salmon that decide than they are ready for harvesting. But when they are ready, we aim to see perfectly positioned to maximize the value from each in the fish. This demand, efficiency, quality and consistent ability in our customers, which it also requires capacity on land to handle our growth ambition at sea. That is surprisingly why we have built in the Norway. 34:42 And by that, Frode Arntsen, it's now my pleasure to hand the word over to -- through the Frode Arntsen, COO of our Sales and Processing activities, who will give you more detailed presentation of our new Northern flagship.
Frode Arntsen: 35:18 Yes. Hello, everyone. Thank you, Gustav, and thank you for giving me the opportunity to come here and present InnovaNor. And most likely, it's not every day that you see a person dress like this, and when it comes for presenting the quarterly results. And I'm addressed well, like, I'm ready for effort and some hard work to get InnovaNor up and running, and maybe also picture for SalMar and its operational focus. 35:54 As already mentioned, it has been a long journey before we can stand there that nowhere are here at SalMar and in the final stages putting our new harvest on processing plant into operation. It is a great pleasure and proud that I can finally wish you all a very welcome to InnovaNor. 36:12 I think I'll speak for everyone in SalMar and I say that we truly have looked forward to this moment. Finally, we have our own harvest and processing plant in Northern Norway. In this way, we have a complete value chain here in this region and can increase over value creation, quality and flexibility when it comes to handling our Northern fish. 36:35 In my department sales and industry, we have the responsibility of receiving the salmon when it's ready for harvest, maximize the possible utilization and ensure that all our customers in all corners of the world get their best possible product on their dining table. 36:53 And it’s an impressive facility this has been constructed here on SalMar. Everything built for future sustainable growth and increased value creation on each salmon. In one word, it is a large factory with twenty thousand square meters and a harvest capacity of seventy five thousand tons of salmon per shift and thirty thousand ton of VAP processing per shift per year. And the infrastructure is built for even bigger volumes. 37:27 As you probably know, we planned to harvest fifty nine thousand tons in Northern Norway this year. So with this plant, we are also building for the future. And for the further growth in the region, we in SalMar have strong beliefs in. The plant is rigged, its state of the art equipment for both harvesting, processing, packaging, freezing, including different storage capabilities. 37:51 At the same time, a separate box-factory and [indiscernible] were handling and utilizing [indiscernible] and been built in direct connection with this factory. Ensuring optimal utilization of the salmon and minimizing our environmental footprint. The facilities is also our new head office in the Northern Norway, ensuring operational advantages and short decision lines. While to make sure that everything we do today, we do a little bit better than yesterday. 38:26 In short, we are very proud of the facility that has been built, and we have made plans for how the plant can be expanded as we continue to grow our business here in the North. It is a building as I said built for the future. 38:43 InnovaNor is an important key for us to succeed in the value chain and enable us to grow further. It gives us a number of advantages and in respect by longer trickle risk, because we have a large momentum capacity, it gives us the opportunity to receive large volumes in a short time. This means that we can optimize harvesting to when the salmon is ready to be harvested. This also means that we reduce risk and consequences, if you should have any challenges that makes it necessary for us to harvest the fish in a short notice. 39:23 Logistics, the last period has shown us, how demanding logistics can be when we have a record high harvest volume to handle and we have harvested at a number of different facilities. This will be significantly easier with InnovaNor in operation and enables us to optimize logistics and with that increased quality and reduce costs. In addition, we have built box-factory next door, which means that we can reduce transport and increase flexibility. 39:56 For products, one thing we have seen during COVID-19 is how important value-added processing is. This has always been a strategic focus area for us SalMar. And with InnovaNor, we can develop this further. The factory will be built with both post and prior rigor VAP capacity from the start. And going forward, we can develop our VAP capabilities, so we can offer exactly the products that market and customers demand. Something that is a huge strategic advantage for us. 40:31 And greenhouse gas emissions, local processing here in Norway is crucial for us to reduce our greenhouse gas emissions related to transport. At SalMar, we already see great effects of this through the processing within Central Norway. In fact, forty six thousand tons of Co2 were reduced in twenty twenty because we have such a large processing activity on the cost here in Norway. By getting InnovaNor in operation, we can strengthen this number even further. 41:05 Handling of the [indiscernible]. At the same time, it is important that we take care of all the [indiscernible] after our harvesting and processing activity. Therefore, we have built a reception center for [indiscernible], enabling us to utilize these to make other salmon-based products. It is great for the circular economy and it's great for the environment. In short, this facility is very important for us to further develop our value chain here in the North in a more sustainable efficient direction. And to take in short, it gives us a robust platform for further sustainable growth in the Northern region. 41:51 SalMar will also be one of the largest employers at salmon, together with the expansion of the smolt facility at salmon, we have already employed more than two hundred fifty employees in the region. More than one hundred head up in InnovaNor. And in total, more than three hundred and thirty persons in both Troms and Finnmark. Over time, we have plans to grow this number even further in connection with our increased activity in the launch. And it is not just as we depend on when we use the facility, local suppliers will be used for a number of services, which facility of these size requires. A win-win for all involved. 42:35 And we are thus becoming one of the largest employers at salmon. We are beware of the social responsibility that comes with that. For SalMar, it has always been important to support the local communities in which we operate. For SalMar, it is important that our employees thrive in the workplace, and it is also important that they thrive in their free time. Therefore, we will continue to increase our support to the local community, both in terms of sport, culture, and other activities. 43:08 At the same time, we will strengthen and continue our collaboration with educational and research institutions. This to gain even more knowledge for how we can develop this great industry going forward. We are excited for what the future holds here in SalMar. For us, putting in on the word into operation is just the beginning. It is now the real work starts. And together with all our employees head in the North, and in the rest of the organization in SalMar, we will make sure that we utilize the facility and get all the effects we want, in respect of quality, flexibility, economy, sustainability, and social responsibility. And as Gustav said, this is only their beginning. 43:57 So with that, I’ll wish us all a good luck. Thank you very much.
Gustav Witzøe: 44:08 Thank you, Frode for a great presentation. I'll wish you and your team, all the best in the work ahead for this is just the beginning. When we stood at – on stage in August and announced our partnership with Aker and establishment of SalMar Aker Ocean, we said that we expected to close the deal in the first quarter of twenty twenty two. But we have already done it. 44:43 It has been a fascinating and learning full process and the fact that we have closed the transaction so quickly, shows us clearly as possible, the enthusiasm and effort, the both Aker and SalMar are sherling into the project. SalMar Aker Ocean is intended to be in the very spear head of development in offshore aquacultures. 45:19 As you know, the first site permit application has already been submitted to the authorities. For the world’s first open ocean aquaculture installation, the smart fish farm. When we have received a final response to the application and clarification of their regulatory framework, we will be in a position to make a final investment decision. 45:50 At the same time, we are working on a new semi-offshore installation that we expect to make an investment decision on as soon as possible. I can promise that Aker and SalMar together will contribute all the competence and resources necessary to succeed on the journey. A new and exciting branch of aquaculture is just starting to merge, and we are looking forward to watching it grow under SalMar Aker Oceans guided in. 46:30 For over thirty years, sustainable food production has been SalMar’s hallmark. This effort continues. SalMar aims to be the leading operator within traditional aquaculture as well as fish farming in more exposed areas and offshore in the open oceans. For SalMar, all are equally important and continued sustainable development and traditional aquaculture will be retail to our success offshore. SalMar, therefore has strong growth plans for our traditional aquaculture going forward. 47:15 As I said before, we are increasing our forecast for the volume of salmon the expected to harvest in Norway this year, by sixty thousand ton to a total one hundred and sixty nine thousand tons. Next year, we expect fewer growth in all regions. In twenty twenty two, we will harvest one hundred and seventy five thousand tons in Norway. At the same time, we will harvest a total of sixteen thousand ton in Iceland and that's thirty three percent rise compared with this year, and we are on track to exploit their potential effort by the company's licenses. 48:02 We expect Scottish Sea Farm to harvest forty six thousand tons in twenty twenty two, an increase of thirty nine percent following the transition in Shetland. All-in-all, this means that SalMar expected to harvest two hundred and fourteen thousand tons in twenty twenty two, including our relative shares of the output in the UK. This represented a volume growth of eight percent for over traditional fish farming operation in twenty twenty two. 48:43 I'll conclude this quarterly presentation by looking forward. As previously mentioned, we will continue to focus on the things we can influence and do something about. We will optimize conditions so the people and salmon can succeed and drive. Good financial results are the product of good biological performance, which comes from operating on the salmon terms. 49:17 We will therefore continue our strategic investments in result sustainable growth on land along the coast and out to sea. With that establishment of SalMar Aker Ocean, we are now ready to realize the potential in the open ocean. Our aim is to build a globally leading offshore aquaculture company. 49:45 In addition, we now expect to harvest a total of one hundred ninety seven thousand five hundred tons in twenty twenty one, six thousand more than previously guided. We expect to harvest one hundred and sixty nine thousand tons in Norway, twelve thousand tons in Iceland and thirty three thousand tons in Scotland this year. In twenty twenty two, we accept to harvest even more a total of two hundred and fourteen thousand tonnes, including our relative share in Scotland a year-on-year increased by eight percent. 50:25 For the fourth quarter of twenty twenty one overall, we expect higher volumes stable cost level. The contract rate for the quarter, for the fourth quarter and for twenty twenty one as a whole stands at around thirty five percent. The contract rate for the fourth quarter and for twenty twenty one as a whole stands at around twenty five percent. Salmar, we take an optimistic view of the future and recent experience has shown as just how strong salmon market is. We expect moderate growth in supply in twenty twenty two. Our job is to take this steps needed to strengthen us today and make us even better going forward. The different investments and project we have discussed today are clear examples or just that. We will continue to focus on the solution, not the problem. 51:44 To conclude, I would like to issue an invitation. As you may remember, we had planned to state a Capital Markets Day in June two thousand. Unfortunately, we had to cancel that event due to Coronavirus restrictions. However, we really want to show you all our value chain and present our ambitions for the way forward. So I'm delighted to invite you to SalMar next Capital Markets Day scheduled for this twenty second, and twenty third of June twenty twenty two. All the details have not been concluded, but please hold the date, we will distribute future information and details of how to register your participation at a later point of time. 52:47 With this we have come to the end of our presentation. Our next quarterly presentation will be in February, until then we hope all of you stay safe and healthy continue to eat a lot of salmon. Thank you for your attention.
Q - :